Operator: Greetings. Welcome to the AMC Entertainment Third Quarter Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require Operator assistance during the conference,  on your telephone keypad. And please note that this conference is being recorded. I will now turn the conference over to your host, John Merriwether, Vice President of Investor Relations. You may begin.
John Merriwether : Thank you, John. And good afternoon, everyone. I'd like to welcome you to AMC's third quarter 2021 earnings webcast. With me this afternoon is Adam Aron, our CEO and Chairman, and Sean Goodman, our Chief Financial Officer. Before I turn the webcast over to Adam, let me remind everyone that some of the comments made by management today, during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks and uncertainties, and other factors may cause actual results to differ materially from those that might be expressed today. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-Q. Several of the factors that will determine the Company's future results are beyond the ability of the Company to control or predict. In light of the uncertainties inherent in any forward-looking statements, listeners are cautioned to not place undue reliance on those statements.  The Company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information, or future events. On this webcast, we may reference measures such as adjusted EBITDA, free cash flow, operating cash burn, and constant-currency among others, which are non-GAAP financial measures. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website earlier today. After our prepared remarks, there will be a Q&A session. This afternoon's webcast is being recorded and a replay will be available in the Investor Relations section of our website at amctheatres.com later today. With that, I'll turn the call over to Adam.
Adam Aron : Thank you, John. Good afternoon, everyone. And thank you for joining us today. A very special welcome to thousands of our individual shareholders who we expect will be joining us on this webcast as well. At the beginning of 2021, we shared with you our view that both the film exhibition industry and AMC would see sequential improvements in the industry-wide box office during the course of 2021. And indeed, we are seeing exactly that. The industry's box office has been meaningfully increasing each and every quarter thanks to improved vaccination levels and an increasingly appealing film slate. Add to that AMC's commitment to robust health and safety protocols through AMC 's Safe and Clean and our stepped up marketing activity, and our numbers per attendance, and admission ticket revenues at AMC also continue to rise. When we reported second quarter 2021 numbers, I said on that quarterly earnings call in August that " AMC crusted. "  I didn't say that because we were yet profitable or because we were out of the pandemic woods at that point, but rather because our results were so much better than market expectations and also because Q2 results were so much stronger than Q1 results. In that spirit, the just announced Q3 results for AMC, once again, are encouraging. Our numbers for attendance, revenues, adjusted EBITDA, and net loss continued to markedly improve and continue to be well ahead of consensus to market expectations. Looking at our industry, the third quarter of 2021 posted the largest domestic industry box office of the year and nearly $1.4 billion, 66% higher than that of Q2, 2021, and 486% higher than that of Q1, 2021. And as for AMC more specifically, here are just a few snippets of the improving performance that we reported today. The global attendance count for AMC in Q3, 2021, was 40 million people. Now we'd not normally be smiling at an attendance level that was not even half of what it was two years ago.  But again, this attendance count of $40 million in Q3 of this year is so very much larger than the 22 million guests we had with us in Q2 of this year, or the 7 million guests we had in Q1 of this year. And for that matter, the 40 million guests in Q3 are so much higher than the 8 million guests we had in Q4 of 2020, the 6.5 million guests we had in Q3 of 2020, and the mere 100,000 guests we had in Q2 of 2020. 40 million AMC guests in Q3, 2021 was up 81% from our Q2 2021 attendance, and up 488% from our Q1, 2021 attendance. And look at this positive trend another way. Q1 2021 attendance at AMC was only 9% of that from the comparable pre -pandemic first-quarter of 2019. However, Q2 2021 AMC attendance was 23% of the coverable Q2 of 2019, and Q3 at AMC, just completed, was 46% of the comparable Q3 of 2019. Importantly, these positive trends continue as the fourth quarter of 2021 begins.  Thanks to Venom, Bond, Halloween Kills, and Dune. Four different film titles that each one of the first four weeks of October respectively. Last week we announced that October 2021 was AMC's biggest month for attendance at admission revenues since February of 2020, and we can tell you now that our attendance in October 2021 was 72% of that of October 2019, and admissions revenue was even stronger, almost 90% of that of October 2019. The upward trend is clear and unmistakable. The story is similarly compelling for AMC's total consolidated revenues. $763 million in Q3 2021 was up 72% over 2021 Q2's $445 million. It was up 414% from 2021 Q1 's $148 million. And if you want a year-over-year comparison, $763 million of consolidated revenues in Q3 of 2021 was up 539% over the $120 million of Revenue AMC had in Q3 of 2020 a year ago. How about we look at adjusted EBITDA? We essentially broke even on the EBITDA in -- on the EBITDA line in Q3, 2021, with an adjusted EBITDA loss for the combined 3 month period of only $5 million.  That number is much better than consensus market expectations. And it is $145 million or 96% better than the Q2 2021 adjusted EBITDA loss. It's $329 million better or 98% better than the Q3 2020 adjusted EBITDA loss for the same quarter a year ago. But let's also look beyond the numbers. There were many bright spots for AMC during the third quarter of 2021, and the first 5 weeks of the current Q4. High notes that are of interest to consumers generally, and where our shareholders tell us, make them proud to be the owners of AMC. Here are 9 examples of a variety of positive developments going on inside AMC right now. 1. We upped our game on alternative content, showing concert movies and live sports -- sporting events, including UFC, WWE, heavyweight boxing championship fights, and professional football games on Sunday afternoons in Q3. 2. We introduced open caption Showtimes each week in hundreds of our U.S. Theaters, specifically for the benefit of the hearing impaired and for those where English is a second language. 3.  Recognizing the success of our promoting artist driven, curated movie releases through our Artisan Film's effort that was launched in the summer of 2019, we just now launched AMC Thrills and Chills, our unique promotional spotlighting of horror movies that are showing at AMC. 4, we similarly launched $5 fan faves, so we can bring back popular movies that were released in prior years. 5, having a charitable event around the 20th anniversary of 911 in September, AMC again screened the Paul Greengrass movie, United 93, and donated the ticket proceeds to the Flight 93 National Memorial. On Veteran's Day, Thursday of this week we will show Clint Eastwood 's film, American Sniper, and we'll donate our ticket proceeds to the Wounded Warriors Project. And we could never forget September 24, which is World Gorilla day, where the ticket proceeds of Gorillas in the Mist showing in our theaters and the 9 Planet of the Apes movies showing on AMC theaters on-demand were donated both in the Diane Foster Gorilla fund and to the Wildlife Conservation Society. 6, we started accepting crypto currency for AMC gift cards and our encoding right now to accept crypto currency for online payments on our website and mobile app.  Bitcoin, Ethereum, , Litecoin, Dogecoin, among other cryptocurrencies are all new works, and we are exploring now how we can take Shiba Inu well. While we will accept cryptocurrency, we will not hold it on our balance sheet and therefore, will not face increased balance sheet risks. 7. We introduced a new program called AMC Investor Connect, a communication and rewards program for our shareholders; already with more than 385, 000 people enrolled in AMC Investor Connect since its inception in late June of 2021. Next, we open The Grove and Americana Theaters in Los Angeles to great success. Under AMC's management and benefiting from the power of AMC's marketing programs, a few weeks ago, these two theaters had already climbed to become the 8th and 34th highest grossing movie theaters in the entire U.S.. And we're not done.  As we sit here today, we have signed 3 signed leases and 5 signed letters of intent on particularly appealing potentially successful movie theater pickups around the U.S. 7 of the 8 are coming to us from Arclight Pacific Theaters, which has ceased operations as you know. Beyond these 8 new theaters, we are continuing to review additional new theater opportunities that are coming our way. And finally, there are our 7 new, in our opinions, simply stunning Nicole Kidman television commercials for AMC Theaters in the U.S., also been used for all our theaters across Europe, which they did in September of 2021 in Q3, and in which Nicole Kidman reminds us all how wonderful it is to see, in her words, dazzling images on a huge silver screen, and that at AMC Theaters, we make movies better.  Our Financial results have gotten stronger and stronger and our Company is doing good things, innovative things in area, after area, after area. One can see and one can feel that our industry and our Company, AMC Entertainment, are on a path of recovery and improvement from this hard global pandemic that has occupied us all since early in 2020. Therefore, no surprise, our spirits are upbeat. However, even amidst such good news, we're not yet where we want, and where we need to be. We wish to emphasize that no one should have of any illusions. There is more challenge ahead of us still to be met. The virus continues to be with us, we need to sell more tickets in future quarters than we did in the most recent quarter, and adjusted EBITDA is still well below pre -pandemic levels. But also clear, we are making progress, considerable progress. Sean, over to you.
Sean Goodman : Thank you, Adam and thank you, everyone, for joining us this afternoon. For the first time since the fourth quarter of 2019, essentially all of our theaters around the world were open for the entire quarter. Much has been written about the impact of the COVID pandemic on the theatrical exhibition industry and AMC in particularly. Recovery takes time. But with all of our theaters now open, and looking at how our financial results have progressed over the last 9 months, and considering the strength of the upcoming film slate, it really feels like we are moving towards a more normal theatrical exhibition environment. The numbers clearly show our recovery trajectory. Adam has already highlighted some of this information. In Q3, we achieved 140 million global attendees, representing an 81% increase over Q2 and a nearly five-fold increase over Q1. 2.  Consolidated adjusted EBITDA of negative $5 million, very close to break even, a $145 million improvement over Q2's EBITDA loss of $151 million, and a $289 million improvement of the Q1's EBITDA loss of $295 million. And finally, operating cash burn, representing operating cash flow before interest payments, pay back of deferred rent, and non-recurring rent prepayments and off to capital expenditure was approximately $10 million per month, and this compares to approximately $42 million per month in Q2 and $107 million per month in Q1. And we continue to expect sequential improvement as we go into the fourth quarter. Indeed, as Adam noted, the fourth quarter got off to a very strong start.  October 2021 admissions revenue was almost 90% of October 2019 admission revenue levels And this just in -- this last weekend's total AMC Revenue exceeded the 2019 comparative period. So while we have more room for improvement ahead, the comparisons of our performance now to that of the -- of 2 years ago pre -pandemic, are much improved over where they were during the past 5 quarters. As you just heard, the 40 million guests that we welcomed at our theaters during the third quarter represented 46% of attendance in Q3 of 2019, but that was also 67% of attendance per showtime during Q3 of 2019.  This difference between having 46% of Q3, 2019 attendance versus having 67% of Q3 attendance per showtime illustrates our continued ability to flex capacity and therefore flex operating costs to efficiently meet the level of demand. This effective management of our cost structure is one of the key reasons we were able to achieve the strong results that we saw this quarter. Results that were considerably better than many expected from AMC. As we are still in a ramp-up phase, comparison of our results to quiet periods in 2020 and 2019 is often not particularly meaningful. However, there are some important performance indicators that are worth discussing. Our consolidated revenue per patron for Q3 was a very strong $19.08. This compares to $15.12 in Q3 of 2019, a 26% increase.  In the domestic market, revenue per patron was $20.15. Up $4.28 or 27% from Q3 of 2019. This was driven by 39% increase in food and beverage spend per patron from $5.35 in 2019 up to $7.41 in 2021, coupled with the 16% increase in average ticket price from $9.45 in 2019 up to $10.98 in 2021, and a 64% increase in other revenue per patron from $1.7 in 2019, up to $1.76 in 2021. In our international markets, revenues per patron was $16.95, up $3.60 or 27% from the third quarter of 2019. This was driven by a 41% increase in food and beverage spend per patron, from $3.59 in 2019 up to $5.07 in 2021, coupled with a 17% increase in average ticket price, from $8.45 in 2019 up to $9.91 in 2021, and a 50% increase in other revenue per patron from $1.31 in 2019 up to $1.96 in 2021. Clearly, across all of our markets, we continue to see significant strength in average ticket prices, food and beverage spend, and other Revenue per patron. The strength in average ticket price has been helped by pricing actions taken during the third quarter, plus a high utilization of our premium large format offerings, such as Imax and Dolby Cinema. Our guests view going to the movies as a special occasion, and they increasingly choose to splurge on the best possible sight and sound experiences available through our premium offerings. Likewise, the increase in our food and beverage revenue per patron is a reflection of guests enjoyment of the full theatrical experience at AMC. The significant out performance compared to 2019 is mainly driven by an increase in the proportion of guest choosing to enjoy our industry-leading food and beverage offerings. Moving over the balance sheet, we ended the quarter with $1,825 million of total liquidity. This is comprised of $1.613 billion of cash and cash equivalents and $212 million undrawn under our revolving credit facilities.  Regarding capital allocation, we continue to pursue a balanced and disciplined approach to capital allocation. Our priorities remain, 1. Ensuring that we do have sufficient liquidity, 2. Strengthening our balance sheet by reducing our debt and associated interest costs, 3. Investing in our business to enhance the guest experience, and 4. Opportunistically pursuing value of enhancing initiatives, including those that lead to diversification of our business. With respect to strengthening our balance sheet, as discussed during our last webcast, we continue to choose to pay cash interest rather than payment in kind or pick interest, thus avoiding any increases in our debt position. During the third quarter, we exercised an option to repurchase $35 million of our highest cost debt that carried a 15% cash, 17% payment-in-kind coupon.  While this may seem like a relatively small amount, it is yet another step that we are taking on the path to recovery and will result in a reduction  annual interest cost by approximately $5 million. Similarly, during the quarter, we repaid approximately $45 million of deferred rent, taking our deferred rent balance down to $376 million. In total during Q2 and Q3 of 2021, we have reduced our deferred rent obligations by approximately $100 million. For now, we continue to focus a substantial majority of our capital expenditures on maintenance expense. CapEx for the third quarter was $17.5 million net of landlord contributions, and Net Capex for the whole of 2021 is now expected to be in the range of $80 to $100 million.  As part of our ongoing efforts to optimize our theater portfolio, during the quarter, we open ed 7 new theaters and closed 4. This brings the total number of locations closed in 2021 to 17 and the total number of new locations opened to 18 for a net add of 1 location as we continue to effectively manage our portfolio by adding new high performing locations and eliminating lower performing ones. Looking towards the fourth quarter and 2022, as Adam noted, we have reason to be optimistic. Based on a Q4 domestic box office full cost of approximately $2 billion, we currently believe that our adjusted EBITDA and our operating cash burn is likely to turn positive in the fourth quarter.  While we are abide by our Q3 results and the momentum going into the fourth quarter, we do recognize that there is much work still to be done. We are very focused on the task at hand, and we are confident that we are well-positioned to capitalize on the improving and increasingly more attractive industry box office, as we close our 2021 and head into 2022. And with that, I will pass the call back over to Adam.
Adam Aron : Thanks, Sean. Before we open this up to your questions, I'd like to talk about our strategy going forward for a moment. It goes without saying that we're going to do all in our power to bring back AMC as you used to know it pre -pandemic, the biggest and most successful movie theater Company in the world. And true to our Company's heritage, we will strive to be as creative and innovative as we possibly can as we do so. But you don't drive a car by looking only in the small rear view mirror and only ponder where you've been. Instead, you also look through the much larger front windshield. You look forward. You gave that where you're headed in addition to where you've been. When some people have looked at AMC, they've made the mistake of only looking back to the Company that we once were pre -pandemic. They don't factor in that our enthusiastic new shareholders have armed us with a war chest -- currently have more than $1.8 billion in liquidity. Now we intend to be extremely careful with that liquidity, using it first to get to the other side of this global pandemic.  At the same time, however, these monies should allow us to think hard and boldly about how we might transform AMC into a new and different Company that does a lot more than just show movies in cinemas. You've already seen, for example, our announcement of last week. That at AMC, we will be entering the multi-billion-dollar popcorn industry in 2022. There are two significant advantages that AMC enjoys in that regard. First, our brand, AMC Theaters Perfectly Popcorn has credibility. After all, our Company has been selling popcorn for 101 years. And on a peak day, we already sell some 50 tons of the stuff. And I ask you, is there anything that tastes better than real movie theater popcorn?  Is there anything that tastes better than popcorn from AMC? And second, we have terrific long-standing business relationships with the biggest and best mall operators around. So AMC, starting in '22 will open kiosk, counters, and stores in retail malls around the country. We also are in discussions with manufacturers and co-packers to introduce an AMC Theaters line of ready-to-eat and Microwavable popcorn to be sold in grocery stores and convenience stores under the AMC Theaters brand, again, hopefully commencing later in 2022. And given that we are now cooking Popcorn right now, this very minute at nearly a thousand Theaters in a dozen countries, we also intend in 2022 to introduce new to-go packaging so we can offer pick-up and take-out options, and partnering with existing home delivery services to offer home delivery as well.  On a completely separate idea, AMC has also been speaking publicly in recent months about cryptocurrencies and NFTs. I can confirm today that we have been exploring with third-parties over the past few months, both how we can accept crypto currency and if it is feasible for AMC to consider even launching our own crypto currency. Similarly, I can confirm to you today that we are now in conversation with multiple major Hollywood studios about the concept of joint venturing commemorative NFTs related to major film titles that show in our theaters. This is the 21st Century after all. And it would seem that there may be real opportunity for AMC in these areas. So there's absolutely no confusion on the store. Some of these conversations are only preliminary in nature. The regulatory climate is fast moving and could affect our thinking and there can be no assurance how, when or if we will proceed. Still, the whole concept is quite intriguing to us.  But popcorn, crypto currency and non-fungible tokens are only 3 ideas of several, we are actively thinking about within AMC. We'll say more publicly about them when and if we know more. Our point though, is that when you think about AMC's future, especially securities analysts from major firms, who sometimes publish long treatises about various exhibitors, including AMC, you should be thinking broadly about us because at AMC, we are thinking broadly about our future. Before we head to your questions, I'd like to end our prepared remarks with a personal comment if I can. I believe the Chief Executive Officers of companies should own Company stock and I believe in transparency. So I want to repeat today comments that I made on our last earnings call three months ago.  As one of my first acts this summer as the new Chairman of the Board of AMC, I announced my intention to recommend to our full board of directors a new executive stock ownership policy. The board approved that recommendation of the new policy at its most recent meeting. It applies to 19 of our most senior executives. Without taking you through its many new answers and complexities, the new stock ownership policy generally requires that I as CEO, be required to carry 8 years of my salary in fully-owned or board granted AMC stock. The goal is for our Company's CEO to think and act like a shareholder because I am a shareholder. I want my interest s to be aligned with yours. Separately on the last call, I pointed out that much of my annual compensation is not in cash, but it's in AMC stock. Each year, 62.5% of my compensation is an AMC stock not cash, to be exact. In the almost 6 full years I've led AMC with the caveat that I did give some shares to my 2 adult children and I forfeited some granted shares in some years, but not in others to cover federal and state income tax withholding obligations.  I have not sold a single AMC share. When AMC stock was rising in value earlier this year, I did not sell even one AMC share. Not in March, not in June, not in September when I could've done so. But on our last call, I also pointed out to you that in September of 2021, I would turn 67 years of age. A youthful, vibrant, vigorous, full -of-life 67 I might add, but 67 nonetheless. Prudent estate planning suggests I should diversify my assets a bit, especially with Congress having been discussing imposing, potentially soaring, capital gains tax rates and significant changes to what can be passed on to ones heir's. So, even though I was not required to make the public disclosures that I made back in August. I have to be transparent. I made those public announcements anyway.  Nor am I required to make any public announcement today, although to be transparent on repeating those same public announcements today. I said then, that I expected to sell some AMC shares before year-end. And then I would do so under the auspices of a so-called 10b 5-1 plan, where I give up stock trading control and turn it over to an independent bank in my case, JPMorgan Chase. My plan though, which I did put in place back in August, as several parameters, including that the plan be set up several months in advance, and that any stock sale be spread over at least 3 different calendar months. So, you should expect to see some stock transactions shortly on my behalf. I can only imagine that naysayers and others who wish AMC harm will try to spread fear, uncertainty, and doubt, in this regard.  But here is what they probably won't tell you. Even after this brief wave of selling comes to an end, I, Adam Aron still will have well more than 2 million fully owned or granted AMC shares in my name. If you do the math, you will see that with this much current and future ownership of AMC, I have an enormous personal stake in the future of our Company, of your Company of AMC Entertainment. I fervently believe in AMC, and my interest s are very much aligned with our broad shareholder base to care very much about the value of your ongoing investment and my ongoing investment in AMC Entertainment stock. So that's our thoughts coming out of Q3. Sean, let's turn first to questions that were submitted to us from our shareholders. What's the first question?
Q - Sean Goodman: Thanks, Adam. So the first question is, will AMC consider various promotions associated with the new popcorn sales such as perhaps a golden ticket?
Adam Aron: So I have to admit -- it's no surprise -- I think I'm following almost 2500 of our shareholders on Twitter. And I receive 100s, sometimes 1,000s of inbound messages every day on my Twitter feed. I tend to read as many of those as I possibly can every single day because I learn so much from what our shareholders tell me and what they think, and what's happened this year is we've been deluged by suggestions from our shareholder base. Over and over again since the Popcorn announcement, which was just last week, I've seen suggestions that we include in the boxes of popcorn, that we sell in supermarkets, for example, that we include an AMC discount certificate or occasionally, just does a random surprise, maybe a free ticket, even a free private theater rental at our theaters. And I got to tell you, I think it's great idea. If you look -- just turn on your televisions and look at other companies' advertisements these days, Domino's has a major promotion right now of something called Surprise Frees, where they're giving up things along with the pizzas that you ordered from them is not exactly a new idea.  All my life, Crackerjack has put a surprise, it's not a very good one, but they bought a little surprise in every package of Cracker Jack. And I think we have a great opportunity to bring down the perceived cost of buying AMC theater popcorn by putting in either a discount certificate if you go to a theater or a  of some kind. And similarly, we have an enormous promotional opportunity to let people know that they should go -- and give them incentives that they should go see a movie. In some cases, it may be a particular movie; in some cases, it maybe all movies at a nearby AMC Theater. So I think it's a great idea and write it down. Folks, we're going to do it.
Sean Goodman: Thanks, Adam. So the next question is, will you accept Shiba Inu?
Adam Aron: So Shiba Inu -- again, suggestions from shareholders. There's just been a tidal wave of inbound messaging to our Company, and to me personally, that we ought to get much more active in the sphere of cryptocurrency and that there was real opportunity for AMC. And in a groundbreaking announcement back in August or September, we announced with some bravado that we're going accept Bitcoin by year-end for online payments, either on our website or our mobile app. It was very well received. So we figured out a way to increase the currencies that we would take, growing it to include a Ethereum, LiteCoin and Bitcoin cash. We then received so many messages about Dogecoin, we took a quick look, I did a Twitter poll. A lot of you voted. A lot of you voted yes, so we're in the process of figuring out how to take those coins.  More recently, once the dose credit announce was out there, we announced that we've already figured out a way for people to buy AMC gift cards right now, using all these currencies that I've mentioned here before. And we are on track right now to accept, as we promised, Bitcoin, Ethereum, LiteCoin, Bitcoin Cash and others prior to year-end, next month. We believe that we will be in a position  online payments directly with us on our -- through our website and app. We think we'll be able to launch the acceptance of Dogecoin in the first quarter of '22 just a few months from now, again, on our website and smartphone app. And as we made those announcements, which was making a lot of you happy, the flood of commentary came in about Shiba Inu. So again I did a Twitter poll, and again, a lot of you read the tweet, a lot of you voted, and a lot of you voted yes. And we are now figuring out how we can take Shiba Inu as a currency; that's the next one on our cryptocurrency hit parade.  I might add that we believe we have figured out ways where we do not have to hold cryptocurrency on our balance sheet. So we're not taking increased balance sheet risks with all this potential acceptance of cryptocurrency. And as I said in earlier in the remarks, as we learn more and more about the opportunities available to AMC with cryptocurrency, it does really raised the question in a serious way and we are engaged in serious thought and discussions with third-parties on this subject. Do we just accept crypto currency or do we issue an AMC crypto currency of our own? Whether -- that one I might hold on the Balance Sheet because we might own a lot of that, and be interested to see what value creation could occur for the benefit of our shareholders if we do.
Sean Goodman: Thanks, Adam and the next question is, what are the opportunities for AMC with respect to NFTs?
Adam Aron: Here again, our inbox is filled with ideas from our shareholders about NFTs. I remember reading the first tweet that came to me -- it was either a tweet or a DM, a direct message, that said, "You really ought to launch the issuance of commemorative movie tickets in a format of an NFT. " And I instantly thought, "That's a really smart idea. That's just a really smart idea. " And then I realized, as I kept reading, that wasn't the only inbound messages I got about NFTs or about commemorate tickets. And the more I saw this, cat advocate of advice from our shareholder base, that we should explore a commemorative movie theater tickets as NFTs the more, they set us down this path. We have already commenced serious discussions with multiple Hollywood studios, major studios about launching NFTs in conjunction with some of the major titles of movies that are playing in our theaters. As I said, the prepared remarks, there's nothing to report today, but stay tuned this space is very intriguing to us.
Sean Goodman: Thanks, Adam. The next question is, will AMC offer a method by which people can buy retail AMC merchandise?
Adam Aron: Well you seem to be on the hit parade of suggestions from our shareholders. Over, and over, and over, and over, and over again, people are telling me that we ought to launch various lines of AMC merchandise. It's a whole variety of things that would carry the AMC logo, whether it's golf shirts, or 